Operator: Thank you for standing by. My name is Carly, and I will be your conference operator today. At this time, I would like to welcome everyone to the 10x Genomics, Inc. Fourth Quarter and Full Year 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Cassie Corneau, Senior Director, Investor Relations and Strategic Finance. Please go ahead. Thank you. Good afternoon, everyone. Earlier today, 10x Genomics, Inc. released financial results for the fourth quarter and full year ended 12/31/2025. If you have not received this news release, or would like to be added to the company's distribution list, please send an email to investors@10xgenomics.com. An archived webcast of this call will be available on the investors tab of the company's website at 10xgenomics.com for at least 45 days following this call. Before we begin, I would like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated, and you should not place undue reliance on forward-looking statements. Additional information regarding these risks, uncertainties, and factors that could cause results to differ appears in the press release 10x Genomics, Inc. issued today, and in the documents and reports filed by 10x Genomics, Inc. from time to time with the Securities and Exchange Commission. 10x Genomics, Inc. disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. Joining the call today are Serge Saxonov, our CEO and Co-Founder, and Adam Taich, our Chief Financial Officer. We will host a question and answer session after our prepared remarks. We ask analysts to please keep to one question so that we may accommodate everyone in the queue. With that, I will now turn the call over to Serge.
Serge Saxonov: Thanks, Cassie, and good afternoon, everyone. Today, I will start with an overview of our Q4 and 2025 performance. I will then talk about some of the key trends driving our business and how they position us well for future growth. Adam will then talk through the financials in more detail. We delivered $166,000,000 in revenue in the fourth quarter, exceeding the high end of our guidance range, and closed the year with $599,000,000 in revenue, excluding $44,000,000 of upfront revenue related to patent litigation settlements. In the fourth quarter, the operating environment remained largely unchanged from Q3. Customer spending remained subdued and capital equipment purchases remained particularly constrained. Uncertainty in research funding dynamics continues to impact customer timing of purchasing decisions. Despite this challenging backdrop, we saw a modest budget flush towards the end of the quarter and we continue to be encouraged by the solid underlying demand for our solutions. As I reflect on 2025 overall, I am extremely proud of how the team executed throughout the year. While 2025 was challenging and at times highly unpredictable for our customers and the broader life sciences ecosystem, the team delivered consistently quarter after quarter. We made steady progress across the fundamental drivers of the business, advanced our product roadmap, and strengthened our financial position. First, we saw strong momentum in key metrics that are driving the fundamentals of the business. Single cell consumables volumes grew at a double-digit rate each quarter, driven primarily by adoption of our newer lower cost products including FLEX and on-chip multiplexing. These products have expanded access, enabled new applications, and supported increased experimental volume. In spatial, we delivered double-digit consumables revenue growth for the year, driven by Xenium momentum. Strong demand for Xenium translated into meaningful customer expansion throughout the year. At the same time, existing customers, including the earliest and largest users, continue to ramp their utilization. We are encouraged to see customers exploring new applications, running more
Serge Saxonov: Delivered multiple product launches across both single cell and spatial. Compared to even just two years ago, we have vastly expanded the capabilities of our platforms through continuous innovation. Within single cell, the launch of our next-generation FLEX assay in 2025, now branded as FLEX APEX, represents a meaningful step change in the capabilities of the Chromium platform. FLEX APEX combines exceptionally high performance with flexible inputs, including compatibility with FFPE and fixed whole blood. It supports both small exploratory experiments as well as ones with high sample counts and large numbers of cells, making it well suited for massive-scale studies. FLEX APEX delivers these features at a lower cost per experiment, thus enabling expanded access to single cell, driving increased reaction volumes, and supporting broader adoption across our customer base. Over a short time, we believe FLEX has become a foundational assay for several of the most important growth areas in the field, including large-scale AI and virtual cell efforts, translational cohort studies, and biopharma discovery and development workflows. As a result, FLEX became our most popular single cell assay by volume in the fourth quarter. We continue to hear strong feedback from customers on its ability to enable larger, more ambitious studies that were previously impractical. We look forward to seeing what our customers will accomplish as these studies progress. We also had meaningful launches across our spatial platforms in 2025. Within Visium, we launched Visium HD 3', enabling researchers to conduct whole transcriptome analysis across a broader range of applications and sample types. We also launched HD cell segmentation to address a key challenge in spatial analysis, helping customers visualize tissue structure in more precise detail. Within Xenium, we launched RNA and protein, enabling multimodal analysis on the same tissue section in a single integrated workflow. Together, these launches significantly expand the capabilities of our spatial portfolio. As I mentioned last quarter, when it comes to spatial, we have seen a strong and growing preference among our customers towards Xenium over other approaches. This trend has continued and will likely accelerate going forward. It is a reflection of both how well the technology works as well as the abundance of insights that scientists are gaining from the platform. Based on the feedback from our customers, it is becoming clear Xenium is the best choice for the vast majority of customers interested in spatial. And finally, we meaningfully strengthened our balance sheet over the course of the year. We grew our cash balance by more than $100,000,000 year over year, reflecting disciplined cost management and focused execution across the business. We intend to continue to effectively manage costs and strategically invest in innovation and long-term growth. As we look ahead to 2026 and beyond, we believe we are well positioned to build on the progress we have made with several strengths propelling growth going forward. First, there has been rapid parallel progress in AI and in the technologies used to measure biology. These two trends are highly complementary. Advances in single cell and spatial technologies have increased scale, lowered costs, and made it possible to generate very large, high-quality biological datasets, while advances in AI are creating new demands for that data. Importantly, this represents a shift in how research is conducted, with AI increasingly acting as a driver of data generation rather than just a downstream analysis tool. We are seeing growing interest in large, well-controlled studies, including perturbation-based experiments designed to capture complexity and resolve causality in biological systems. The partnerships we have announced over the past year exemplify and validate these trends. We are supporting the Chan Zuckerberg Initiative’s billion cell project, which is generating unprecedented volumes of single cell data to fuel AI-driven biological discovery. We are also working with the Arc Institute on the Virtual Cell Atlas, using large-scale perturbation data generated on our platforms to train and validate next-generation models of cell behavior. In addition, our collaboration with the Cancer Research Institute is focused on building high-quality, well-controlled datasets to better understand immune responses and accelerate progress in immuno-oncology. Together, these efforts illustrate how our platforms are becoming foundational for AI applications in biology. Another area that has become increasingly important for us and one we see as a meaningful growth driver going forward is translational research. We are seeing growth in translational research for three fundamental reasons. First, in multiple therapeutic areas like oncology and autoimmunity, we have an increasing number of therapies, but only a limited understanding of which therapies are appropriate for which patient. Second, there is increasing evidence from literature that single cell and spatial are very promising approaches for discovering actionable biomarkers and signatures of response. Third, our platforms have made big advances in scale, cost, and robustness, as well as in compatibility with critical clinical samples, most importantly FFPE and whole blood. It is now straightforward to run large-scale cohort studies, and this is precisely what many of our customers have been doing. We announced a number of initiatives last year with academic medical centers and with industry partners to undertake large-scale translational studies. Translational research is also an important driver of biopharma adoption. Single cell and spatial technologies have relevance across the drug development continuum, but the largest opportunity lies in later translational stages, where biomarker strategies are essential to understand patient response and potential toxicity. This is where our solutions can meaningfully improve the probability of success and where we expect to increasingly focus our efforts. And finally, as this translational work has been picking up, we are hearing growing interest from customers in applying our technologies to patient care. Based on that, as well as a growing body of scientific literature, we believe there is significant potential for single cell and spatial biology in diagnostic applications. Realizing the potential will require the generation of robust clinical evidence and deployment of these technologies in the clinical setting. To enable clinical applications of single cell and spatial analysis, we are pursuing two parallel paths. First, we are continuing to support our customers in generating clinical evidence and will collaborate with them to enable clinical deployment in the future. In parallel, we believe we ourselves are in a unique position to accelerate the arrival of some of the highest impact diagnostics given our technology leadership, understanding of application, and strong position in the research ecosystem. As part of the strategy, we recently announced two collaborations with leading academic medical centers to support clinical evidence generation. With Dana-Farber Cancer Institute, we are focused on tissue-based spatial profiling to support biomarker discovery and therapy selection in oncology. With Brigham and Women’s Hospital, we are pursuing blood-based monitoring approaches to enable longitudinal assessment of disease activity and treatment response in autoimmune disease. We expect to expand this set of collaborations over time as we continue to build programs across various indications. We are also building out a CLIA laboratory to enable clinical deployment of the resulting tests. Stepping back and setting aside the current macro environment, it is hard not to be excited by our position as a company. We believe we are at the nexus of some of the most important trends our industry has ever seen. We have a powerful innovation engine, a high-performing organization, and a strong balance sheet. We are focused on delivering continued innovation across our platforms and believe 2026 will be a particularly exciting year as we advance our roadmap and bring new capabilities to our customers. I feel incredibly privileged by the position we are in, and optimistic about the opportunity ahead. With that, I will now turn the call over to Adam. Thanks, Serge. Before reviewing the fourth quarter results,
Adam Taich: I want to take a moment to reflect on 2025 as a whole. Despite a highly volatile external environment that drove some variability in quarterly revenue, we exited the year in a strong financial position. We remained disciplined on spending, strengthened our operating foundation, and meaningfully increased our cash balance, positioning the company for a strong future. With that, I will now focus my commentary on our fourth quarter financial results and the related drivers. Details of our full year results can be found in today’s press release. All growth rates referenced reflect year-over-year comparisons unless otherwise noted. Revenue for the fourth quarter was $166,000,000. This represents 1% growth over the prior year, and exceeded the high end of our guidance range. Our fourth quarter results reflected a challenging operating environment, balanced by continued momentum in the business. As mentioned during our remarks at a recent investor conference, we also saw some unanticipated budget flush late in the quarter which partially contributed to performance in the period. Total consumables revenue was up 6%, with growth in both single cell and spatial. Single cell consumables revenue was up 3% supported by double-digit growth in reaction volumes, in part due to our lower priced 14% driven by Xenium consumables. Total instrument revenue declined 36%, with Chromium instrument revenue down 44% and spatial instrument revenue down 30%. Consistent with the patterns we saw throughout 2025, instrument revenue in the fourth quarter remained under pressure given ongoing funding challenges for capital equipment, though we did see a sequential uptick due to year-end capital spending. Looking at revenue by geography, Americas revenue declined 6%, while EMEA and APAC grew 79% respectively. While the Americas region remained muted amid continued softness in the U.S. academic and government funding environment, EMEA performed better than expected, driven by some late quarter orders as customers worked through year-end spending. APAC had a solid quarter consistent with our expectations. Turning to the rest of the P&L, gross margin was 68% for 2025, as compared to 67% for the prior year period. The increase was primarily driven by lower inventory write-downs, as well as lower royalty and warranty costs, partially offset by higher manufacturing costs. On the operating expense side, we continue to execute with a strong focus on operating efficiency and cost discipline.
Cassie Corneau: Consistent with this focus,
Adam Taich: total operating expenses decreased 18% in the fourth quarter, primarily driven by lower outside legal expenses and lower personnel costs. We ended the year with $523,000,000 in cash, cash equivalents, and marketable securities, up $130,000,000 from 2024. Turning to our outlook for 2026, while the funding environment continues to be muted, it has reached a measure of stability that we believe supports reinstating full-year revenue guidance. We expect 2026 revenue to be in the range of $600,000,000 to $625,000,000. Excluding upfront revenue related to patent litigation settlements in 2025, this represents 0% to 4% growth over full-year 2025. At the midpoint, our guidance implies a continuation of the trends we saw throughout 2025, including double-digit growth for both single cell consumables reactions and spatial consumables revenue. The guidance range also assumes CapEx funding remains constrained, which will continue to put downward pressure on instrument revenue. We expect the overall environment to be consistent with 2025, with customers remaining cautious in their purchasing decisions. We were encouraged to see the recent NIH budget approval, as well as decisions on both indirect funding and multiyear funding as part of the bill. Notwithstanding this improved clarity, there is still significant systemic turbulence in research funding dynamics that continue to impact customer sentiment and timing of purchasing decisions. Additionally, as we think about the cadence of the year, we anticipate first quarter revenue to be a larger percent of full-year revenue as compared to prior years. This is partially driven by orders received late in the fourth quarter that were shipped in January. Moving to the rest of the P&L, we expect our overall financial profile to further strengthen in 2026. The cost discipline we have embedded over the past year has translated into tangible operating efficiencies. Moving forward, we expect to sustain these productivity gains while continuing to drive improvement across the business and advancing a strong slate of product introductions. With that,
Serge Saxonov: I will turn the call back to Serge. Thanks, Adam. Before we turn it over for questions, I would like to acknowledge just how tough 2025 was for our customers and take a moment to thank the 10x team. Despite all the turbulence you stayed focused on our work, our customers, and our mission. It has not been easy, but the progress you have made on multiple fronts is nothing short of remarkable. As a company, we are stronger than we have ever been. We are entering 2026 with great momentum and the landscape of profoundly important opportunities ahead of us. Thank you for everything you do. With that, we will now open it up for questions. Operator? At this time, I would like to remind everyone, in order to ask a
Operator: question, press star then the number one on your telephone keypad. We ask that you limit your questions to one. Your first question comes from Tycho Peterson with Jefferies. Hey. Thanks. Serge, just wondering, you know, a month and a half or so into the year here, if you can maybe just comment on anything on ordering patterns that that
Serge Saxonov: seeing right now, and then give us a quick walk on, you know, what you are baking in for academic and
Tycho Peterson: pharma in particular on some of these larger, you know, perturbed seq type studies. And then also clinical, you know? I mean, you are not the first company today to mention single cell and spatial in clinical. So I am just curious how you think about the timeline of that opportunity. Thanks.
Serge Saxonov: Thanks, Tycho. Yes, several questions inverted in there. So first of all, just the general kind of sentiment out there and the customer orientation. Yes. We would say that, you know, it has been the environment has been similar, is similar to what it has been for the past couple of quarters. You know, 2025 is pretty similar to what we are seeing now and what we expect to see kind of throughout the rest of the year. Certainly, it has been gradually improving, certainly compared to 2025. But there is a lot of uncertainty still remaining, and caution among our customers. There are a number of issues that are going on in the academic sphere. U.S. academic funding, when it comes to staffing, when it comes to the timing of disbursements, criteria by which grants are reviewed and judged, universities are uncertain around their budgets, multiyear funding, pocket decisions, things like that. So overall, I think the environment, like Adam mentioned, is generally pretty steady, and not as bad, again, as it was the first half of last year. But there is still a lot of uncertainty remaining. On, you know, as far as this year is concerned and kind of the drivers going forward, certainly, we are excited. As I mentioned earlier in my remarks, there is a big wave of AI-driven projects for perturb-seq type applications, and our products, especially FLEX, are incredibly well suited for the purpose. And you could actually see that now coming out in the preprints, other publications, validating the premise. And so we certainly have a lot of excitement that we see around this application, around these trends. They were meaningful, relatively small percentage of our business last year, and we expect it to keep growing going forward. And I think what is particularly exciting to us is that there is, as you look to the future, the upside is enormous. There is, like, really no credible ceiling to how much data people are looking to generate, how much data would be useful to generate for these AI models.
Operator: Your next question comes from Douglas Schenkel with Wolfe Research.
Douglas Schenkel: Questions.
Adam Taich: First,
Adam Taich: on pricing, it sounds like single cell consumable revenue grew and reaction volume was up. What I am having a hard time figuring out is was volume growth enough to offset pricing? I guess a long-winded way, what I am trying to get at is, you know, how should we think about how volume and price trended into year-end, and then how are you contemplating those factors in guidance?
Douglas Schenkel: Yes. Sure.
Adam Taich: Yes, so let me take that one, Doug. So yes, I think maybe starting with Q4. So, you know, when we think about the full year, full year 2025 reaction growth was 22%, in part due to the launch of, in Q4, FLEX APEX, we had 30% plus volume growth. So really nice trend sort of rounding out the year. So when we are thinking about that balance for 2026, the best way to think about it is premium consumables, if you think about the midpoint of our guide, it is flat. Right? So essentially, at about flat, and there are a bunch of different combinations and permutations that could get you there, you know, depending sort of the mix of product and various volumes. That is the way that we are thinking about the guide and the components of the guide. We talk
Operator: about
Adam Taich: continued pressure as it relates to CapEx. We talked about double-digit, you know, ongoing strength in our spatial consumables. And if you sort of think about the Chromium consumables business at 0% growth,
Adam Taich: that is sort of roughly where we are. There is a bunch
Adam Taich: of different ways you can probably get there, you know, based on product uptake, you know, particularly around the FLEX franchise. But that is really where we are thinking about 2026.
Operator: Your next question comes from Puneet Souda with Leerink.
Puneet Souda: Yes. Hi, guys. Thanks for the
Serge Saxonov: questions here. Let me ask mine on FLEX APEX. Serge, it appears that FLEX V2 is rebranded as APEX. Maybe just a quick clarification there. What was the mix of FLEX V1 versus V2 in the fourth quarter? And I am wondering if you can take a minute and talk about how you are thinking about FLEX, I mean, the APEX product playing out throughout 2026, how pricing is going to be impacted as the adoption for that grows. And how should we think about the 3' 5' GEM-X
Puneet Souda: kits switching over to potentially to APEX and how to think about the, you know, the pricing headwind from that because that could be fairly meaningful. So just want to understand those drivers and sort of the timing of how that plays out. Thank you.
Serge Saxonov: Yes, Puneet. Thanks. Thanks for the question. Yes, so first of all, yes, I mean, FLEX APEX, we launched it last quarter in Q4, and it was really strong out of the gate. It is, yes, it is too early to talk about sort of the breakdown of the different versions of FLEX within the larger assay category. But obviously, it did really, really, really well, and also now getting great feedback, as customers are actually running through the experiments, generating data, and looking forward to ramping and to increasing their usage. So all kind of great trends. Again, I would emphasize that it is still very early. You know, it was only partially available in Q4, and so still, you know, we are still very much in the early part of that adoption curve. Now, as we think about going forward, I think it is kind of important to delineate the different buckets of single cell use, kind of going back to your question around where FLEX is going to
Puneet Souda: get adoption for. So first of all,
Serge Saxonov: there is a lot of new use cases, and it is an unambiguous trend here when we, what we hear from customers, that this FLEX APEX is now opening up new opportunities, new experiments, new studies that they were not contemplating before. And so that is purely additive, and that is where our commercial team is focused, on is driving these applications, enabling these new use cases, enabling all this additional volume. Also, yes, there is a large fraction of single cell use where people are just not going to switch. Back to your question about universal 5', 3', you know, we have lots of other products that are uniquely necessary for the use cases that researchers are using them for. Also established workflows where they are not looking to switch. And then finally, there are people that are going to switch either from the earlier versions of FLEX or from some of the other products like 3'. And, you know, what we are hearing is that some of them will just spend the same amount of the same budgets that they have but just run more samples. And some will run the same number of samples but pay less per sample. It is definitely kind of a headwind that we are watching carefully. But, you know, one thing I just want to emphasize, that
Puneet Souda: it is important to appreciate
Serge Saxonov: that it is not just single price drop across the board. There are multiple dynamics here and multiple categories of customers. And our focus is fundamentally on driving additional extra volume. And clearly, that was a good trend that we saw in Q4. As Adam mentioned, out of the gate, there was greater than 30% reaction volume growth,
Puneet Souda: and, and
Serge Saxonov: you know, it is not an unreasonable kind of anchor point to think about 2026.
Operator: Your next question comes from Daniel Arias with Stifel.
Serge Saxonov: Serge, can you maybe just talk about the push into the clinical translational space
Daniel Arias: It sounds like it is going to get going with these institutions that you talked about last month. What are your expectations when it comes to those types of customers using single cell and spatial products? And then how broad is that push going to be this year? Is it sort of meant to be a pilot program of sorts with those hospitals,
Daniel Arias: or is it
Adam Taich: part of a larger commercial effort?
Serge Saxonov: Thanks. Thanks, Dan. Yes. So there are actually two separate sort of categories of efforts that we have. There is a future-looking set of initiatives that we are undertaking to stand up future clinical applications for diagnostics in the future using single cell and spatial technologies. We are super excited about them. A lot of it is driven by just the interest we see from customers and from physicians that are out there. And as I mentioned earlier, our goal here is to kind of pursue a hybrid strategy where we enable our existing customers to develop clinical evidence and to ultimately deploy these technologies in clinical settings. And we are also undertaking our own efforts to build up clinical evidence and build up a CLIA lab to deploy these tests. We believe we can do this particularly efficiently, leveraging our existing assets. I am very excited about these efforts. They are future-looking. That said, they are also synergistic with our current business because they provide a measure of validation to where this technology is going. They give customers comfort in adopting single cell and spatial in research, in the current research applications, and in drug development applications. And then kind of the second category of effort are more near term around, again, translational research. This is where our products are already being used and, you know, there is potential for a lot more. Again, there is a fair amount of our single cell products and spatial being used on patient cohorts to look for biomarkers to drive drug discovery. But the promise here is to really scale this up and make it routine and go to more customers with much larger volumes. I would say that the opportunity there is at least as big as what we have seen in basic science, and our products now are in a place where they can support these kinds of applications, these kinds of efforts, and it is a big focus for our commercial team this year as well.
Operator: Your next question comes from Kyle Mikson with Canaccord.
Kyle Mikson: Hey, thanks for taking the questions.
Puneet Souda: The comments on consumables and
Kyle Mikson: reaction growth were helpful. But on instruments and this guidance here, just could you talk about which franchise you think will experience the largest impact from the CapEx headwinds in 2026? And then secondly, just on translational revenue with the new biopharma-focused commercial team, were there any like proof statements in 2025 that give you confidence that biopharma can break through, you know, like 30% of revenue in 2026, get to on behalf of revenue over, thanks.
Serge Saxonov: So yes. So let me pick up that second question first, Kyle. So yes, we are very excited about the for translational research. I would say that both in academia and medical centers, academic medical centers, and in biopharma, you know, our eventual goal, you are right, is to drive to a place where, at some point, half of our revenue is driven by biopharma. We are not making a claim about, you know, doing this this year, clearly, but we expect to take steps in that direction this year. We, you know, we talked about adoption in large-scale translational research projects last year. Quite a few of them publicly announced. Even this year, we have already announced a number of them. And I think it is pretty clear that this is just the beginning. When we talk to biopharma customers, there is clearly potential for single cell use and spatial use all across the drug development continuum. We have been very much kind of historically focused on the early discovery stage, and now there is potential to expand downstream into translational use cases, into biomarker programs, and both the dollars that are spent there and the size of the cohorts, size of the experiments, is just much larger. And so that presents a really great opportunity for us, for which there is, you know, tangible yet at this point early evidence of potential. And like I said earlier, our products are now at a place where they are perfectly suited for those applications.
Adam Taich: I can take the second piece of the question, Kyle, around CapEx. I mean, what we are seeing broadly is that, and anticipating in our guide, that CapEx funding environment just broadly remains constrained. That said, there is typically more pressure on the higher-end, you know, side of CapEx. You know, we actually grew Chromium instruments on a unit basis year on year from 2024 to 2025. We did that in large part, and we will continue to do so as needed in 2026 here, by working with our customers, trying to ensure that we are getting any of the capital barriers they may have sort of out of the way. And if we can get package-type deals where there is a consumables commitment, it ends up working out well given the margin profile in our consumables. So we will continue to do that into 2026.
Operator: Your next question comes from Daniel Brennan with TD Cowen.
Daniel Brennan: Great. Thank you. Thanks for the questions.
Serge Saxonov: Maybe one on the price/volume again for Chromium. So is it fair to think that in the flat Chromium consumable guide, it is kind of a similar math, maybe, volumes up
Daniel Brennan: 20, price down 20.
Serge Saxonov: You know, the price is kind of a tricky thing because it is not like-for-like, but I guess that is the first question. The second one is just while NIH is still under pressure, albeit hopefully getting better, you know, you
Adam Taich: put up
Serge Saxonov: good numbers overall in China and EMEA. So I am wondering if you could speak a little bit to how you are thinking about the outlook, what is baked into the guide between the different academic customer groups in different regions. So even if U.S. is weak, like, if there are other regions, could they pick it up? And then final one is just the balance sheet. Really strong. Great cash generation. What are the plans with the cash that you are building as we look at 2026? Thank you. Well, yes, maybe I will start with that last question. Yes. Like, we are very happy to focus for us last year for multiple reasons. You know, a big one just to give us a cushion. The environment was highly, highly unpredictable, and we wanted to make sure that we can execute on our priorities regardless of what happens to the macro environment. And so as part of that, as a consequence, you know, the team has done a great job of increasing efficiencies and driving really tight cost management and are in a good place now. Also, it gives us a really strong position and ability to deploy capital as we, as necessary, as we look at the landscape of opportunities out there. We are always looking at and evaluating the landscape. Do not have any hard rules around where we might invest. Always driven by fundamentally the strategy, looking to where the world is going, what are the big opportunities, what are the big questions that need answering, and then determining what technology needs to be built, what products need to be built in the service of that, and that is what drives our investment, and again, good to be in a place where we have the resources to pursue our strategies. Okay. I can take the, or at least give you some thoughts, Dan, on the price/volume as it relates to Chromium, and again, we thought,
Adam Taich: kind of coming back to our guidance philosophy and trying to provide information that we think is useful, you know, for modeling and understanding our business. The reason that we provided, kind of at the midpoint, we are thinking about Chromium consumables as flat, there are a bunch of different combinations and ways that you can get there. I guess what I would share with you, you know, sort of again is in Q4, 30% reaction growth and the Chromium business grew 3%. We are not suggesting, you know, obviously, what I am telling you at the midpoint, that the Chromium business on the consumables is flat. Not suggesting that, you know, it is going to be, you know, plus 30, down 30. There are a bunch of different ways we can get there, and given the underlying complexity of the portfolio, we certainly have been trying to do our best to communicate that. You know, FLEX APEX just came out. You know, we had fairly a stub of a quarter, you know, in Q4. Good trends here early in Q1, and a lot of that, both on the price side given the mix of product and product price, as well as the volume, is really going to play out during the course of the year. And even on an internal basis, we can see sort of how that could play out. That is, you know, really part of the range of the guide that we have provided.
Operator: Your next question comes from Patrick Donnelly with Citi.
Patrick Donnelly: Great. Thank you guys for taking the questions.
Adam Taich: Adam, maybe some for you just on the guidance. Can you just talk about the confidence on the spatial piece? It sounds like you guys are talking about, you know, good growth there. Just that shift with Xenium and Visium, it sounds like Xenium is picking up a little bit. So yes, if you could just talk about that, it would be really helpful. Then you did mention the cost profile kind of strengthening up. If you could put anything around the margins, that would be helpful. Appreciate it. Sure. Yes. Let me start sort of on the spatial side. Yes. We had a very strong year on spatial consumables in 2025, driven entirely, you know, by the Xenium franchise. So, you know, Visium, just full disclosure, in 2025 did not grow. So all of the growth that you are seeing in the spatial consumables side of things comes, you know, and more, from the Xenium side of the business. Customer sentiment is incredibly strong. Utilization rates, you know, are fantastic. I think as we have discussed before, we have got customers that, you know, run them around the clock and have to go, you know, sort of expand their fleet. Still got new customers buying in even in a CapEx-constrained environment. You know, we have been able to do an admirable job. Sales team is doing a really good job getting instruments out there. So feel confident where we are on the spatial consumables number, you know, that we can hit double-digit growth again here in 2026. I think just broadly to your question on cost, yes, it is really important for us just to ensure that we are deploying the resources wisely. We spent a lot of time in 2025 really ensuring that we are making moves to strengthen our balance sheet. You know, we were successful in that regard with cash up $130,000,000 from 2024 to where we are right now. And you will continue to see that type of cost discipline, you know, here in the company as we move into 2026.
Operator: Next question comes from Mason Carrico with Stephens Inc.
Adam Taich: Hey, guys. Last year, you gave full-year reaction numbers for Chromium, Visium, and Xenium. It seems like you guys chose to not give that this year. Could you just give some color on Xenium reaction growth in 2025? It would be helpful to gain some insight into the utilization trends there. And then you guys have answered a handful of questions on FLEX, but if you talked about the adoption cadence, I mean, are you expecting the transition to be a more gradual migration or more front-end loaded this year?
Serge Saxonov: Basically, yes, let me just take the first question first. So, I mean, the short answer is, like, it is a little too early to tell. Like I said earlier, like, I just said, we did not even have a full quarter in Q4 of FLEX APEX adoption. Clearly, there is a lot of pent-up demand, and that has been really great to see. There has also been great feedback coming back from customers who are actually adopting it and using it, and there is a lot of interest in ramping up, and especially ramping up new kinds of experiments that people were not contemplating before. Again, it is just too early. All the early signs are encouraging, but it is too early to talk about, like, the various specifics of the cadence.
Adam Taich: And, yes, you will see when the 10-K hits why the reactions, to your question there, and I think it was specific around Xenium. So Xenium reactions were 14,500 for the year, and that was up about 34% over the prior year. And like I said, that will be in the K.
Operator: Next question comes from Subhalaxmi Nambi with Guggenheim Securities. Looking ahead to AGBT, how are you thinking about competitive dynamics from some other players launching solutions this year? And what levers can you pull to stay ahead from a share perspective? Are there any competitive pressures baked into guidance at this point?
Serge Saxonov: Yes. So, like, look, we feel really good about our position in the business, both in spatial and single cell. We have, you know, as you look at what has been happening recently, the last several quarters, it has been kind of a similar story pretty consistently, where not much when it was spatial, but really not much impact on our business. Clearly, Xenium is growing really fast, much faster than sort of other offerings out there, from a much higher base. We, you know, as we go forward, feel really good about our competitive position both with respect to current competition and as well as any potential competition that is out there. We have been innovating continuously over the past several years and extending the gap between us and other potential offerings. And we certainly, again, we keep a pretty good pulse about what is happening out there in the market and various products and launches, and feel quite good about where we are relative to the field.
Operator: Your next question comes from Daniel Leonard with UBS. Great. Thank you for taking my questions. This is Lu Li on for Dan. I think one question on Visium. Given that it did not grow in 2025, can you just update us in terms of the go-forward strategy on the platform? Any plan to put it back to positive growth? Thank you.
Serge Saxonov: Yes. So, yes, Visium is a good platform for quite a number of applications for our customer use cases, and we have been very diligent in making sure we support those customers and drive those applications. And we absolutely will continue to do that. But that said, like I said earlier, we are learning more and more, like, with pretty strong definitiveness, that Xenium is really the best choice for spatial analysis for the vast majority of use cases. And we have been investing in the Xenium platform. We expect to keep doing that in the future. And, yes, that is kind of how it is going to, I think, balance out going forward. A lot of growth going forward in Xenium, and Visium will have its place.
Operator: Your next question comes from Michael Ryskin with Bank of America.
Michael Ryskin: Great. Thanks for taking the question, guys.
Adam Taich: Maybe a boring one, but your comments about the timing shift or the pacing through 2026, then you called out Q1 to be larger compared to prior years because of the orders late in the fourth quarter. Could you just expand on that a little bit? Like anything in particular that stood out there? Just relative to your comments on budget flush with one customer and to your product line? Just a little bit unusual if you got such a meaningful swing.
Michael Ryskin: Just kind of want to get a sense of what that is attributed to. Maybe was there any additional price you gave to capture those orders? Just color on that would be helpful. Thanks. Sure.
Adam Taich: I can take that one, Mike. Yes. I guess, to the last part, it was not really a pricing dynamic. We did mention, I think, at an investor conference in January that we did see some unanticipated budget flush, which is, you know, part of the reason that we ended up, you know, beyond the guide that we had set. Some of those orders that came in late in December, we were not able to fulfill until January. So that was a couple million dollars that essentially carried over and spilled into Q1. So that is, you know, part of what gives us confidence, you know? And then, again, we are, you know, a good way into Q1. Although it is a fairly small number for Q1. So the way we are thinking about the quarter is,
Adam Taich: historically,
Adam Taich: we have been, you know, 23% or so in Q1. If you think about sort of the full year, probably about a point higher than that, so closer to 24%, you know, as we think about Q1 as a percent of where we are if you are thinking about that at the midpoint of the guide.
Operator: Next question comes from Luke Sergott with Barclays.
Salem Salem: This is Salem Salem on for Luke. Thanks for taking our questions.
Puneet Souda: Just wanted a quick update on the timing of the Scale Bio technology integration. Are the expectations to kind of retain roughly the same throughput that Scale on its own can achieve while retaining the same quality of the legacy 10x technology, and are you able to kind of use the proposition of this new sort of integration to win over these new AI customers now with kind of the promise of providing something even higher throughput down the line? Thanks.
Salem Salem: Yes.
Serge Saxonov: Yes. So first of all, on the question of sort of AI customers and those applications, predominantly, the right solution there is FLEX APEX. That is resonating really, really well for a number of reasons. It is incredibly scalable. It has huge sensitivity, like really, really good sensitivity. It is really robust, works across many different cell types and tissues. There are a lot of kind of technical reasons, but it is just a really, really great product. And, again, there have been papers, and there have now been preprints that have been coming out just validating that it is really perfectly suited for that. As far as the Scale technology is concerned, so what is currently in the market, as we have said before, like, on the spectrum of our overall revenue, it is not really material. And we are obviously excited about the technology that Scale brings to us and incorporating it into future products. We have not yet talked about what those future products are, but there is definitely great potential, and in due time, we will talk about it.
Operator: Your next question comes from Casey Woodring with JPMorgan.
Puneet Souda: Great.
Casey Woodring: Thank you for taking my questions. Maybe first one, I wanted to dig into your plan to set up a CLIA lab. Can you maybe talk more about which indications you plan to target first, and timing of, excuse me, generating clinical evidence for these diagnostics applications and, you know, actually standing up the lab and going through all the certifications and all that? And then how should we think about the CapEx required to build out the lab and that return on investment over time? And maybe just as a follow-up to that piece, you know, how should we think about potential impact from diagnostics customers that are seeing 10x enter as a competitor?
Serge Saxonov: Yes. I mean, good questions. So these are, yes, very good thematic questions here. One, maybe just to step back. I just want to emphasize how excited we are about this direction. A lot of it is driven by, again, the interest from our customers and just generally physicians out there. We believe there is huge potential in clinical applications of single cell and spatial. We are starting to make some initial investment and efforts along this direction. They are early. They are really for the future. One great thing is that we have a lot of assets, both in terms of technology, in terms of our position in the research market, in terms of the infrastructure we have here. Building up clinical evidence is actually really, really efficient for us, and we can do this in a way that does not materially impact our P&L.
Casey Woodring: Our
Serge Saxonov: strategy is a hybrid strategy where we absolutely are going to enable customers to develop clinical tests in the future. We are working with quite a number of them right now, help them generate clinical evidence, help them deploy those tests, the necessary tests in the future. But, again, we also believe we are in a unique position for some applications to really accelerate their arrival and to drive impact sooner and faster than otherwise would have been possible because, again, we have all these assets that we can deploy in a really, really cost-effective manner to do that. We talked about two big applications specifically for tissue-based tumor profiling to guide therapy selection for all these new generations of therapeutics that are now coming online that are targeting different expression markers. And also blood, we talked about application of using single cell from blood to guide monitoring and treatment selection for autoimmune diseases. Another really, really big and exciting application. So, again, these are efforts all aimed towards the future. We have set out to build a CLIA lab, and we are targeting early next year to stand it up. Again, we believe we can do it very, very efficiently, make use of a lot of the assets we already have, and in that sense, it is going to be very minor, if any, impact on our P&L.
Operator: Your final question comes from Matthew Larew with William Blair. Hi. Good afternoon.
Serge Saxonov: Wanted to follow up on AI, and one is
Daniel Arias: for Adam, which is if you could quantify at all either revenue orders related to AI in 2025 or the expectation in 2026. The second part, Serge, for you, which is, I guess, a bit higher level. You know, it sounds like demand right now is in service of, you know, larger projects, virtual cell foundation models. I guess I am curious if you expect that demand to be iterated over time where customers are constantly building models, you know, based in part on large perturbation sets rather than sort of a one-and-done. That is kind of the first part. And, you know, last year there were some papers out around the idea of in silico perturbation. So I am curious how you see that complementing or competing. And then the third, I guess, higher level one, Serge, is, you know, you have a network of CRO partners around the world, and certainly 10x can, you know, you are an expert user of your own products. So just as you have some of these more non
Daniel Arias: traditional
Daniel Arias: companies or groups of people entering the space and building models, you know, maybe if the customer group might shift at all for your products and maybe if that alleviates, you know, the capital constraints that some smaller customers might face if it becomes more outsourced. So I understand there is a lot there, but I guess one on the near-term opportunity and then the bigger one is just how you see the space playing out over time.
Serge Saxonov: Yes. So maybe I will start there. First of all, in terms of kind of providing potential service offerings to customers that want to generate very large datasets, that is really something that has been on our minds and that we have certainly had people come to us about. And we do have some service offerings that could potentially play a larger role in the future as we think about it. Stepping back, you know, the bigger part of your question around potential for AI and how it will evolve. Yes, I think very much like kind of your first framing, where we feel the continuous kind of growth in demand and scale. I do not think there is anyone who thinks that we are anywhere near the scale we need, and that there is going to be any less usefulness to generating more and more data where we currently are. So I think we are just at the very early stages of the sort of the scaling revolution for generating AI. It is sort of very analogous to what has happened in other domains where AI has been applied. There are good reasons to think why it might be even more relevant and powerful for these kinds of biological datasets where the complexity is just enormous. And then the second kind of part of your framing there was whether in silico experiments can, at some point, replace the sort of biological data generation. And I, yes, I think a very strong view. I think it is very hard to argue with the fact that biology is just insanely complex, and we are very, very far from understanding it. If we start getting close to the point where, you know, we are actually solving biology, then okay. But we are, like, very, very far away from it. And so the runway here is enormous. We need to generate lots and lots of data, and I do not think there is anyone who would materially disagree with that
Serge Saxonov: premise.
Serge Saxonov: And maybe I will just pick up that last, that first bit of the question. In terms of how much demand is driving right now. I kind of mentioned earlier, I mean, it is meaningful. You know, we talked about very large projects last year that have been running, that have been gearing up. Still relatively small percentage of the business. We do expect all this to grow, and a lot of it is actually being driven by FLEX APEX. It is the perfect assay for all these projects, for driving perturbation screening, for doing it across many different cell types and tissues. But it is still very, very early days. And like I said earlier, what is particularly exciting here is that as we look to the future, there is really no cap to the upside here.
Operator: There are no further questions at this time. With that being said, we will conclude today’s conference call. We thank you all for joining. You may now disconnect.